Operator: Greetings. Welcome to the Alliance Resource Partners, L.P. First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Brian Cantrell, Senior Vice President and Chief Financial Officer. Thank you. You may begin.
Brian Cantrell: Thank you, Alex, and welcome, everyone. Earlier this morning, Alliance Resource Partners released its first quarter 2022 financial and operating results and we will now discuss these results as well as our perspective on market conditions and outlook. Following our prepared remarks, we will open the call to your questions. Before beginning, a reminder that some of our remarks today may include forward-looking statements, subject to a variety of risks, uncertainties and assumptions that are contained in our filings from time to time with the Securities and Exchange Commission and are also reflected in this morning’s press release. While these forward-looking statements are based on information currently available to us, if one or more of these risks or uncertainties materialize or if our underlying assumptions prove incorrect, actual results may vary materially from those we projected or expected. In providing these remarks, the partnership has no obligation to publicly update or revise any forward-looking statement whether as a result of new information, future events or otherwise, unless required by law to do so. Finally, we will also be discussing certain non-GAAP financial measures. Definitions and reconciliations of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures are contained at the end of ARLP’s press release, which has been posted on our website and furnished to the SEC on Form 8-K. With the required preliminaries out of the way, I will begin with a review of our results for the quarter and then turn the call over to Joe Craft, our Chairman, President and Chief Executive Officer, for his comments. As outlined in our release this morning, Alliance reported strong increases to key operating and financial metrics for the 2022 quarter and compared to the 2021 quarter. For the 2022 quarter, ARLP posted increased volumes across the Board as coal sales and production volumes rose 19.5% and 14.7%, respectively, and royalty sales volumes for oil and gas and coal climbed 26.3% and 22.8%, respectively, all as compared to the 2021 quarter. We also saw higher commodity prices during the 2022 quarter, with coal sales price per ton increasing 13%, oil and gas prices jumping 74.9% per BOE and coal royalty revenue climbing 9.2% per ton. Reflecting higher sales volumes and price realizations, ARLP’s total revenues, income before income taxes and EBITDA also jumped significantly during the 2022 quarter, increasing 44.6%, 221% and 61.5%, respectively, over the 2021 quarter. These increases would’ve been even greater, but for 1.1 million tons of delayed coal shipments due to seasonal barge lock maintenance, high river levels and ongoing rail transportation challenges experienced during the 2022 quarter. While these delayed coal shipments are expected to be delivered over the balance of the year, they reduced our coal revenues in the 2022 quarter by approximately $72 million, EBITDA by $31 million and net income by $27 million or $0.21 per limited partner unit. On the cost side, segment adjusted EBITDA expense per ton increased by 10.7% in the 2022 quarter to $32.90 per ton, compared to $29.72 per ton in the 2021 quarter. As a result of inflationary pressures on numerous expense items, including labor related expenses and supply and maintenance costs. Operating costs were also impacted by long-haul moves at our Hamilton, Tunnel Ridge and Mettiki mines. Reflecting higher revenues, partially offset by increased operating and income tax expense, net income for the 2022 quarter increased 48.1% to $36.7 million or $0.28 per limited partner unit, compared to $24.7 million or $0.19 per limited partner unit in the 2021 quarter. As we reported last week, ARLP recognized a one-time non-cash deferred income tax charge of $37.3 million and a current income tax expense of $4.8 million in the 2022 quarter, which collectively reduced net income by $42.1m or $0.33 per limited partner unit. These tax charges reflect the ARLP’s recent election to convert Alliance Minerals, LLC, the holding company for our oil and gas royalty activities from a partnership pass through entity taxable at the individual unitholder level to a corporate taxable entity for federal and state income tax purposes. This election effectively reduces the total income tax burden on our oil and gas royalties revenue as ARLP will pay entity level taxes at corporate tax rates that is well below the individual tax rates that would otherwise be paid by our unitholders. Since we intend to grow our oil and gas royalty segment by reinvesting the free cash flow from Alliance Minerals into additional oil and gas minerals, we do not expect to be double taxed. Compared to the sequential quarter, total revenues decreased by 2.7% primarily due to lower coal sales volumes as a result of the delayed coal shipments I previously mentioned. Lower coal sales volumes cause coal revenues to fall 5.6% sequentially, even though coal price realizations increased 5.3% to $47.58 per ton sold. Total operating expenses improved by 9.5%, compared to the sequential quarter, as a result of lower coal sales volumes and a 2.8% reduction in segment adjusted EBITDA expense per ton. Lower total operating expenses more than offset reduced revenues, leading income before income taxes higher by 52.5% to $79.7 million into 2022 quarter, compared to $52.2 million for the sequential quarter. Although income taxes was higher in the 2022 quarter, net income decreased to $36.7 million compared to $51.8 million in the sequential quarter due to the impact of income tax expense attributable to the change in tax status of our Oil & Gas Royalties segment I discussed earlier. EBITDA increased 16.9% in the 2022 quarter to $152.3 million compared to $130.2 million in the sequential quarter. Taking a quick look at our balance sheet. ARLP ended the 2022 quarter with liquidity of $603.6 million and further reduce total leverage to approximately 0.8 times trailing adjusted EBITDA. Finally, as we outlined last week, ARLP has also updated its 2022 full year guidance. We anticipate the current strong commodity price environment will continue through of the year that levels well above our initial expectations. Our coal operations have increased planned sales volumes by 500,000 tons in response to strong customer demand and with approximately 94% of sales volumes now priced and committed for delivery in 2022. We expect our coal sales price realizations per ton will be 10% to 22% above the initial guidance ARLP provided to the market in January of this year. Although, supply chain challenges and continued inflationary pressures remain a concern, we currently expect full year operating costs will be in line with our initial expectations, leading to improved operating margins from coal. Our Royalties business should also perform better than we expected coming into 2022. Pricing for oil, natural gas and natural gas liquids has increased significantly since the beginning of the year, prompting E&P operators to increase production on ARLP’s acreage. With expectations of increased volumes and pricing, our Oil & Gas Royalty revenues should benefit – should be meaningfully higher. Similarly, our coal royalty business should benefit from higher revenue per royalty tons sold. As a result, ARLP’s full year operating and financial performance and cash flow generation this year should surpass our initial expectations for 2022. With that, I’ll turn the call over to Joe for comments on the markets and his outlook for ARLP. Joe?
Joe Craft: Thank you, Brian, and good morning, everyone. As you just heard from Brian, much has changed since we last released earnings in January. The series of defense that we experienced in the 2022 quarter led to outstanding results that even more importantly set the stage for historic growth for ARLP looking forward. Energy markets were already strong coming into the year as post pandemic global economic expansion continued and power demand increased. As the 2022 quarter unfolded, market conditions improved even further. The impact of under investment in fossil fuel production since 2019 caused partly due to the pandemic, but also strongly influenced by climate policy decisions by governments and financial institutions around the globe began to manifest itself, creating worldwide shortages of coal, oil and natural gas. Sanctions imposed on Russia, following the invasion of Ukraine disrupted the global flow of commodities and energy supplies were further impacted by inflationary pressures, labor shortages, supply chain challenges, and transportation disruptions. All of these factors contributed to a dramatic increase in global commodity prices and a renewed focus by countries around the world on the importance of energy security, national security and freedom. U.S. and international thermal coal markets have reacted strongly to the current environment. High natural gas prices have incentivized coal-fired power generation at the expense of natural gas, particularly in Europe. Coal-generation across the European Union in March 2000 – excuse me, 2022 exceeded the five-year average in jump twofold over 2021 levels. With a recent announced ban on Russian coal, which accounted for approximately 70% of the EU imports in 2021, European buyers are ramping up coal purchases from alternative supply sources and driving international thermal coal prices to unprecedented levels. China and India are generally the central focus on the global coal markets due to consuming two-thirds of the world’s coal. However, due to the war in Ukraine, their influence in the current market environment has been somewhat muted. From a market perspective, this should provide more stability for U.S. exporters of coal than we have had in the past. While the international market is reflected by the API2 index remains extremely volatile. We are seeing the physical market being more stable and currently supporting our coal sale price per ton estimates in our updated 2022 full year guidance. We recognize and so should you, the difficulty of guessing commodity prices with the current turmoil around the globe right now. However, I believe energy prices will be at elevated levels as long as there is conflict with Russia and Ukraine. Unfortunately, it appears this conflict is going to last for quite a bit longer. So with that caveat, our view is the U.S. export prices for both thermal and metallurgical coal will remain higher than the domestic market over at least the next 18 months. As a result, we expect most of ARLPs uncommitted coal will be sold into those markets, lifting expectations for our export volumes to reach a little more than 6 million tons this year. If we are correct in projecting export prices to remain higher than the domestic market in 2023, we most likely will increase our export volumes by up to an additional 1.5 million tons next year. Turning to the domestic market, utilities have historically used the spring shoulder season to restock their coal inventories heading into the summer cooling season, but have been unable to do so this year, facing extremely low stockpiles, high natural gas prices, and fierce competition with global fuel buyers, domestic utilities are struggling to manage power dispatch economically in the current pricing environment this year. The forward natural gas curve supports strong demand for coal. In response to this environment, our domestic customers are actively issuing term RMPs for the next several years seeking security of supply. Initial discussions indicate the market seems to be setting up to replicate what we saw in the back half of 2021, suggesting the current pricing environment will remain strong heading into next year. Production for the 2022 quarter was 14.7% higher year-over-year and 5% higher than the sequential quarter. These impressive numbers were achieved, even though we continued to be impacted by rising inflation, supply chain issues, free long-haul moves, one of which took longer than we expected due to challenging circumstances. Staffing shortages, as well as continued COVID-related absenteeism at our operations and those of our suppliers and transportation providers. Our increase in production was led by our Gibson South operation, which had their best quarter since Q2 2019. MC Mining’s new Mine number five achieved its best quarter since it opened in Q2 2020. And Tunnel Ridge producing slightly more than 2 million tons at its best quarter since Q2 2019. This quarter’s total production annualized supports our sales guidance for this year. We along with the rest of the coal industry are finding it difficult to attract new workers simply by paying higher wages. Therefore we do not anticipate our production will increase meaningfully this year or next. Likewise, we don’t believe there will be a supply response by other coal producers either. Unless there is a global recession, severely impacting demand for fossil fuels, it seems likely commodity pricing will stay strong for several years, especially if the U.S. stays committed to increase LNG exports over the next decade. As Brian mentioned earlier, we are anticipating 2022 sales volume from our coal operations to increase 10% to 15% and per ton price realizations 26% to 47% higher compared to 2021 levels, buoyed by increased prices, we currently expect ARLP’s segment adjusted EBITDA margin per tons sold. And 2022 should increase by approximately 88% compared to 2021. While it is too earlier for 2023 guidance, based upon my earlier comments, we are well positioned to grow margins again next year. Revenue from tons sold and the export market will determine by how much. Strong market fundamentals should also benefit our Oil & Gas and Coal Royalties segments. Pricing for oil & natural gas improved meaningfully during the 2022 quarter, with oil topping $100 per barrel and natural gas exceeding $7 for MMBtu. While operators continue to exhibit financial discipline. Increased cash flows from higher commodity prices have led to some accelerate permitting drilling and completion activity, driving production on ARLP’s acreage to exceed our initial expectations. The robust coal markets discussed earlier also expect to benefit our coal royalty segment as a result of higher revenue per royalty ton sold. Our royalty segments delivered record financial results last year, and we expect favorable market conditions with support even better results in 2022. For our Oil & Gas Royalties segment, we believe total BOE sales volumes will increase 4% to 13% this year and a favorable forward price curve for oil and natural gas in NGLs will most likely support much higher price realizations compared to last year. Anticipated increase in coal sales volumes and prices from ARLP’s mining operations should also benefit our Coal Royalties segment, with royalty tons sold expected to increase approximately 7.5% and revenue for royalty ton expected to be 22% to 26% higher compared to 2021. As indicated by our updated guidance and with market fundamentals remaining extremely favorable for 2022 and beyond. ARLP’s well positioned to deliver solid growth and attractive cash returns to our unitholders. We are pleased that our Board elected to support management’s view by increasing ARLP’s cash distribution to unitholders by 40% over the sequential quarter. Based upon our full year guidance, management is targeting unitholder distribution increases of 10% to 15% per quarter over the balance of this year. Distributions at these levels still allows for capital allocation ratios similar to what we have discussed in recent earnings calls. Therefore the strong cash flow that supports the growth and distributions will also support higher cash flow available for growth investments and strengthening of our balance sheet. Over the last 18 months, we have discussed ARLP’s goal of utilizing the strong cash flows from our existing assets to pursue opportunities in developing energy transition areas. To help you understand our thoughts on future uses of free cash flow, I want to outline our current strategy. The best way I have thought to explain our strategy at this stage is to consider our uses of cash in five verticals. The first vertical is to return cash to unitholders through quarterly distributions. Every year, since our IPO in 1999, our strategy for success has been centered on well covered distributions providing an attractive yield to our investors. To do this, we have focused on creating sustainable growth and cash flows year-over-year. Since we started – excuse me, since we restarted distributions after COVID-related disruptions, our allocation for distributions has been approximately 30% of estimated annual free cash flow before growth investments. Assuming, we achieve results consistent with our guidance for 2022, we will be at that level again this year. The second vertical will be to support the maintenance capital requirements for our co-operations. We will also invest in high return efficiency projects to maintain our low cost competitive advantage. In addition, we will consider opportunities in mining beyond thermal coal to include metallurgical coal and other industrial minerals to capitalize on one of our core competencies, our mining expertise. Third we plan to continue growing our royalty segments, focus primarily on reinvesting the cash flow generated from this part of our business due acquire additional oil and gas mineral interest. We are also exploring opportunities to expand this segment to by investing in other royalty type investments. The fourth use of cash flow will be to invest in growth assets. We can manage that may lead to establishing another business segment. An example includes the repurposing of our Matrix Design Group subsidiary is described more fully in our press release issued this morning. Matrix has recently launched OmniPro NIOSH 2020 award-winning Visual Artificial Intelligence technology. OmniPro is a camera safety system that uses VAI to detect people and objects such as stop signs within a mobile equipment units, projected travel path and alerts the operator of their presence. This is one of the products we think has the potential to help grow Matrix of cells by five times to 10 times over the next five years or so. We will achieve this growth by adding new talent to our workforce and deploy a modest amount of capital expenditures. Other areas of potential investment by Matrix an ARLPs broader management team focused on technology development includes smart cameras, energy storage, energy efficiency, renewable power generation, EV charging, smart metering and energy demand management. The fifth vertical is focused on investments, capable of providing attractive returns on a standalone basis or one that could also result in assets we can manage for sustainable long-term growth. This strategy is similar to how we built our Oil & Gas Royalties segment. As you may recall, we started by investing in minerals as a limited partner in AllDale I in 2014. And then again, in AllDale II in 2015, after seeing the earnings potential for this business, we decided to buy out the other limited partners and the GP of these two funds to own directly and manage the underlying minerals. We have made several other investments in this space since then, and plan to continue to do more. This quarter’s record performance for our total royalties segments affirms why we like this model. On the other hand, we invested in a natural gas compression company in 2017, thinking that could be a line of business for ARLP to pursue. Once we decided the gas compression business did not fit with our long term objectives, we sold that investment, achieving an attractive return. This too is a business model we could pursue. We have made the strategic decision to invest in non-coal assets, believing we can realize sustainable cash flows at attractive returns on invested capital. As we pursue these opportunities, we will remain steadfast and our commitment to maintain a strong balance sheet and strive to make the best decisions for our long term unit holders. While we are continuing to explore several areas of growth along the lines, I just outlined. We are excited to announce today, our recently completed investments in two entrepreneurial companies, Francis Energy and Infinitum Electric. The 50 above reference, fifth vertical. We believe both of these investments will provide significant returns for our unitholders within four to seven years. A key component of our evaluation of these operations was the ability to leverage the technology and manufacturing skills of our Matrix Design Group subsidiary. Since 2006, Matrix has been an innovative technology company embedded within the Alliance organization. Initially focused on developing, manufacturing and deploying technology to enhance the safety and productivity of underground coal mining operations. Matrix has recently begun focus on expanding the expertise and skills of its more than 100 professionals into other areas. With its powerful platform, combining hardware, software, data analytics, and AI, all in one place, Matrix is uniquely positioned to not only support the ongoing development efforts of Francis and Infinitum Electric, but they accelerate their progress and execution. When you look at the investments we are making in Francis Energy and Infinitum Electric in the context of Matrix, all three companies are focused in strong growth sectors, align with the broader energy transition. Critically however, they each provide tangible offerings, which are enhanced by this transition rather than being dependent upon it. Combined, we plan to invest up to $90 million over the next 12 months in these investments. The investment details will be provided in our upcoming quarterly filing with the SEC. As the energy and infrastructure transition continues, we also believe the necessary changes to the U.S. power grid will create opportunities for ARLP to leverage its relationships with electric utilities, industrial customers, and federal and state governments to create additional revenues or avenues for growth. As the future of the energy continues to evolve, ARLP is well positioned to benefit. We remain committed to providing the fuels essential to meeting the energy needs of today and to profitably invest in opportunities that will allow us to meet the energy needs of tomorrow. And doing so, we are focused on creating long term value for our stakeholders. That concludes our prepared comments. And I’ll now ask the operator to open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Nathan Martin with The Benchmark Company. Please proceed with your question.
Nathan Martin: Hey, good morning Joe, Brian, thanks for taking my questions.
Joe Craft: Good morning, Nate.
Nathan Martin: I guess first as I look at the updated 2022 coal sales price guidance, you guys put out last week, obviously pretty wide range. I’m just curious what leads you to the upper or even the lower end of that range. I’m assuming, where the rest of your open tons goes a big factor and it sounded like showing you prepared remarks maybe roughly those two million tons would likely go to the export market but, can you guys talk about how many tons, you do still have open the market prices where you see those prices today and any other thoughts you have there? Thank you.
Joe Craft: Right. So at the end of the quarter, we wrote right at two million, we have sold some additional tonnage in April. We are targeting the export markets. The wide range is reflective of the volatility we’re seeing. It’s also reflected on transportation. So, we do assume at the midpoint that we will be able, to have the transportation needed and maybe to the upper range if we can work a few extra days if the market supports that. So that’s the upper range. If the lower range on the sales volumes could require some delay in transportation and with that delay in transportation, it could affect some of the revenue back to – some of the export, and some of the [indiscernible] tons would roll into next year. So when you’re thinking of that wide range of pricing, it’s not only just the price for the commodity, but it’s our average sales price that could be reflected on the amount of tonnage we would sell. So, we sort of focused on the midpoint and with current pricing, well supported that if you were thinking of those values, it’s sort of reflected in our average sales price at the midpoint for wherever the export prices would be combined with what our committed tons are, already being priced at. If that makes sense, if that answer your question?
Nathan Martin: Yes. I think that’s helpful. And I mean, I guess where are you seeing today or, prices both domestically and export markets? Like what kind of net backs are out there?
Joe Craft: Well, again, not in a position to really talk about that, because we’re negotiating those every day. And I prefer to defer that question. They do reflect, I guess one other point I would make is in the guidance. We have targeted 360,000 tons of metcoal [ph], that’s another factor that’s influencing those prices. That is unpriced. So we also, we’re seeing quite a bit higher prices, obviously in the met market than the steam market. So that’s another factor that’s influencing that.
Nathan Martin: Got it. I appreciate that, maybe as you look ahead to 2023, you guys committed in price and additional, it’s like 3.5 million tons since last quarter including about 2 million tons of exports. It would be helpful to give us any idea on pricing there. I understand you’re probably still negotiations as well, but and also those additional tons part of the new agreements for 8.7 million tons through 2025, you guys called out and you released just wanted to clarify that. Thank you.
Joe Craft:
(0:32:07) UI tons:
Nathan Martin: No, that’s very helpful, Joe. Appreciate that. And then also, I mean, really helpful to get your thoughts on your use of cash strategy. And also exciting to finally get some details on some of your investments in the energy transition, any comments on how much you guys have invested there with those different companies you called out this morning. And, when you look ahead to further investments, whether it’s in energy transition or coal and mining space, as you referenced, how do you balance that growth on the investment side with growing your distribution? It sounded like, distribution growth should still remain number one, but just wanted to make sure.
Joe Craft: Right. So through 2022 again, we’re still looking at our free cash flow and targeting distributions at that 30%. Now, whether we change that moving into next year, that’ll be a decision by the board on a quarterly basis. It’ll also be determined somewhat on what available cash flow we have and, or really more importantly what investment opportunities we might have in the near term. As we mentioned in the prepared marks, the two investments that we’re announcing today have the potential to consume $90 million over the next 12 months. Those are committed. There are conditions that would determine whether it’s a full amount or whether it be something less than that. We’re continuing to look at numerous opportunities how we balance that is we will as I’m – for minerals, we plan to reinvest the cash flow. So that’s around a $100 million that we’ve got targeted there, and this is all equity. None of this is levered. So that’s what we’ve got targeted to invest in the mineral space, royalty space. We do have some efficiency projects we’re looking adding coal. We do have other investments that we’re considering and pursuing that could happen this year, that are in non-coal, that fit either probably fit the last vertical, as I reflect on that. There’s a few other investments that we’re looking at within the Matrix operation that could occur this year. And we also have the potential to pay down some debt with any additional cash flow in the near term. So that’s the way we look at it. So, I think that we’re very focused on trying to grow our company. I would like to believe that with what’s going on in Europe? And how Europe was so dependent on foreign actors that did not really consider what was in the best interest of Europe as they developed their energy policy or their environmental policy, that could reassess what our American leaders are thinking as far as what’s the right strategy for America, with energy policy. We desperately need to slow down with the government regulations that are impacting the current fleet. MISO just recently put out a press release of their worrying about the capacity for power this summer. And there are quite a few plants that are on the board to close next year, if there’s no relaxation or suspension or pause, and of the government regulations around coal fired generation in MISO. So I know they’re concerned about it. I know PJMs concerned about it, or hopefully our administration is talking to utilities to make sure there’s reliability of supply in our own country. But it’s, with that backdrop that you know, we need to think in terms that if they want to move on a faster pace or on the pace prior to the, where they were going before the Ukrainian war that we have to prepare for coal plants shutting down in the back half of this decade in the earlier part of the next decade. So that’s why we feel that with the energy transition, there’s going to be a lot of opportunities that for investment and with the free cash flow we’ve got. We are targeting to try to grow to where by the 2026, 2027 time period. We’ve got some great assets that will be generating cash flow so that we can continue to have year-over-year growth for the next 20 years. I mean that’s what we’re focused on doing. So no timeline, it’s other than just trying to live within our cash flow, trying to take care of our current assets, make sure we optimize those, we believe there’s fossil fuels are not going to go away anytime soon. The world depends on fossil fuels. We’re seeing that greater than ever. People wouldn’t be paying these price is if they really didn’t want need fossil fuels. We see the problems in India right now with the heat wave they’ve got and the suffering that their people are going through because they don’t have adequate capacity to take care of their particular needs. So energy is the lifeblood of the world and of the economy. And I believe fossil fuels has been that and will continue to be that for a long time. But you got to be prepared that there are other opportunities out there like in the EV space where our auto sector has made significant commitments to manufacture EVs over the next three to five years. So that presents opportunities for people that are in the energy space. We plan to take advantage of much of that as we can within the core competencies to where we can manage those and feel like we understand the risk and that we can be successful with the returns similar to what we’ve had over the last 20 years.
Nathan Martin: Very helpful, Joe. Clearly a lot going on as we know. So I appreciate your thoughts and time as always. I’ll leave it there. Best of luck going forward.
Brian Cantrell: Thank you, Nate.
Operator: Our next question comes from the line of Mark Reichman with Noble Capital Markets. Please proceed with your question.
Mark Reichman: Good morning. I thought the commentary in your release about Matrix and the grid were interesting. And I was just curious if you could just talk a little bit about how prepared the grid is to support the energy transition and what specifically the opportunities are for you in terms of working with utilities and the transmission facilities, et cetera, kind of how you’re thinking about that opportunity for Matrix.
Joe Craft: Well, yes, I think as we know as the renewables become a larger percent of the grid that the current U.S. grid was not designed for intermittent energy sources. So you hear a great need to update the transmission lines. We believe that those are going to take a lot longer than what people would expect just because you see the challenge that people have, pipeline companies have getting permits, getting FERC approval, transmission has to go through the same process. So I think being able to redevelop the transmission lines as fast as is necessary to support what is anticipated to be the higher growth of renewables. And again, that’s all based on this pre-energy crisis that we’re living with. So there could be change but there’s still that transition and desired appears. So when you think about the transmission lines, having to move at a slower pace, and what is currently there one of the main focuses that Matrix is looking at is battery storage and energy storage, and trying to do that not only at thinking about what would be done for the utility, but what could also be done by industrial users so that we can rely a little bit more on some of the intermittent sources. But at the same time, obviously rely on the grid because the grid is the backup. I mean fossil fuels are the backup for any type of intermittent, but there will be that need for battery storage. So that’s the area that we’re primarily focused on there as well as looking at.
Mark Reichman: Was it kind of it’s…
Joe Craft: Yes.
Mark Reichman: Management is that one way of looking at?
Joe Craft: Yes. Its low management is one way of looking at, yes. And then the other area we’re looking at is should we be manufacturing certain components for solar because you see that, right now China is trying to dominate the manufacturing for the energy transition, whether it be solar products or EVs. So there may be opportunities as America focuses on bringing strategic a minerals slash manufacturing to this country, so that they’re not totally dependent on China, that there may be manufacturing opportunities for components of multiple areas of the supply chain in the energy transition.
Mark Reichman: And then how do you expect the coal tonnage that was lost during the first quarter due to the transportation constraints to be made up over the balance of the year? Will it mostly – I mean, will it be lumpy in the second and third quarters or kind of how are you expecting to make up those volumes and then also have those transportation constraints dissipated at this point?
Joe Craft: Yes. We’re seeing improvement in the transportation. So really is since we actually started writing the release, we’ve seen improvement. So we had sort of laid out that it would be over the balance of the year, but knocked on wood right now, it may be a little bit heavier in the second quarter. The transportation delays were two parts. One was weather, high waters, those have abated. So we do have the capacity to make up some of the volume for those shipments that were impacted by the high waters and not being able to travel by barge. But the more significant impacts on the rail side and that has improved, it’s not where we want it to be, but it’s better than it was. And so we’ve seen sort of no real progress in January, February, then it stepped up in March and then stepped up even more in April and its projected to step up even more in May, based on our conversations with the railroads that that we’re looking at. So we do believe that maybe the second quarter will have a larger percent of that than what we thought a week ago. And then just on the acquisitions, this is you’re kind of the – we’re in kind of a new, with this energy transition, how has your investment criteria changed or maybe if you could just comment on your investment criteria for acquisitions. Because clearly those investments you’re making around your existing businesses aren’t as risky and probably very good returns. But how do you go out about evaluating these new investments in the energy transition? And how do you think about kind of the immediate returns versus longer-term returns and risk reward.
Joe Craft: Right. So you’re right. I think on the investments that we would make in the coal space, those returns are more predictable and they’re less risk return threshold is expecting a payback within three to four years. And that seems to be doable right now, maybe even better than that depending on how these prices stay. So that’s a good thing. On the mineral side, we’ve tried to maintain our underwriting standards that we had before this run up in commodity prices. We’re looking at a lot of different things. I’d say that we’re close even with our underwriting standards, but we’re still in the hunt for several ones. So I think that – yes, so our return expectations there and the risk profile back to trying to understand what prices are actually needed. And I think one of the things that we look at is pipeline capacity. And when you think in terms of where the pipeline capacity is or how fast can that industry grow and how much more production can it bring on. Therefore, what does that do to pricing? We think that we can maintain the underwriting standards we have and still be successful in acquiring assets. So those two investments really haven’t changed or return expectations or the way we’ve approached it. As we look at what we’re doing in Matrix, those things that we can grow organically. We don’t have to invest much capital as far as buying stuff. What we do have to do is make commitments to people. And so there’s – it’s more like a working capital issue. And Matrix has been in our family since 2006 and we’ve funded it originally and we have little bit of R&D early on in its life, but over the last five years or so, they’ve lived totally within their cash flow. And the products that they’re got in their R&D prospects can be funded from their internal cash flow. If we want to get more into manufacturing and do some other things, there could be some capital there, but those are also easily modeled and predictable as to what we think the cash flow returns of those would be. I think the latter – the last vertical in trying to think about energy transition is the hardest. But the growth opportunity is just so great that the two investments we are making that we announced today, both anticipate very strong growth. And I think that they would not the way that we would be accounting for those would not really impact our EBITDA et cetera. Because I mean, it could be that we just had that investment and then there would be a monetizing event somewhere once they reach a reasonable growth rate that they feel like it’s an opportunity for their shareholder to do so. And then we’re looking at multiples of cash invested as opposed to the way we would typically look at an operation of a discounted cash flow model based off of how you manage, how you look at supply demand, how you lock in contracts, how you head your position, how you understand your cost component, et cetera, so on. So it’s different than what we’ve done, but it’s not too dissimilar to the way that we, again, looked at all day one and two or the Kodiak investment we made. So like all businesses, you have projections on where you believe the business will be five years from now, 10 years from now. And you have to just use your judgment on what type of returns you think you can get. But we’re – in that model, we’re more looking at what we think our multiple return to capital will be recognizing that we don’t control the decision of either those companies and they will do what they do for their shareholders and will benefit from that. And then that’ll allow us to take that capital at some point in time, redeploy it and or who knows to do other things down the road, but that’s the way we look at that. So hopefully, that’s helpful.
Mark Reichman: That’s very helpful. And I was looking at that and I think investors – the Francis Energy, that’s probably certainly easier to understand maybe than what Infinitum what exactly that opportunity is. But so you’ll probably continue to make equity investments, but in terms of kind of putting a stake in the ground or maybe a sizable enough acquisition. Is there a maximum amount that you would want to put at risk on any one acquisition? Or it’s kind of the difference between building kind of a bag of a bunch of different bets or investments versus trying to kind of build scale in two or three areas or very concentrated areas. Are you – seems like you’re kind of at that point where you kind of already identified a few paths to participate in the energy transition. And you’re kind of past that exploratory stage, where you’re just kind of looking over out a wide range of opportunities. And that’s what I was trying to kind of focus in on.
Joe Craft: Yes. I mean, I think that – in the verticals four and five, yes, there will be – we will walk before we run. So we’re not going to be putting huge bets on anything. I think that if we in the mining business decide to invest in a mineral that’s not coal-related or a met mine or an industrial metal or mineral, then it’s possible that you would see a larger investments similar to what you would see in our oil & gas segment and/or in our coal segment, we were to buy another company. It’s possible depending on several things that we’re working on in the EV space that there could be a larger investment. But I would say, the rule – the general rule would be that they – these will be small – relatively small investments that they’re not going to bet the company. We’re definitely not going to be betting the company. We’re looking at 100% equity, so we’re not taking on debt. And we’re fortunate that we’ve got substantial cash flow that allows us to invest at levels that are meaningful. But at the same time, our no – we have the bandwidth within our management team to manage the investments without trying to move too fast. And I think we’ve got time, because we know our customers want their coal plants to run to 2035, 2040. And the only thing that’s going to keep them from doing is the government, because they’re fully compliant with all environmental laws, they’re needed in the states that they’re operating, they’re low cost, they’re well maintained, and they believe that we can sell coal at a price. It’s going to be more attractive than any of their alternatives, when they say, well, if I shut down my plant, what am I going to replace it with? And they know in their hearts that anything they replace it with is going to cost more money. So, if the government wants to continue this policy of trying to reinvest in things that are more expensive when they’re still dealing with inflation at levels that are the number one issue on voters mind, wake up, you go to think that government policy would start to understand the impact they’re making to the U.S. citizens as far as increasing their cost of living.
Mark Reichman: Yes. Well, thank you very much. That’s very helpful.
Joe Craft: Thank you, Mark.
Operator: Our next question comes from the line of Marco Rodriguez with Stonegate Capital Markets. Please proceed with your question.
Marco Rodriguez: Good morning. Thank you for taking my questions.
Joe Craft: Good morning Marco.
Marco Rodriguez: Morning, I have a couple quick kind of follow ups, first surrounding the new investments that you kind of made here in the energy transition space. Can you talk a little bit about how those two opportunities were sourced or kind of how they came about? And maybe if you can also comment on how long it sort of take – took you to go from the initial look to making the commitment to the investment?
Joe Craft: So on Infinitum we were introduced to them two years ago, I think. And they had this innovative technology that someone thought we would be interested to understand as to how that could be utilized by us. And so we had a very thorough evaluation, got to meet with the management team, the owners et cetera. And we liked the product, we liked what they were doing, but at that stage of the game, given where we were with the COVID and everything else that was going on we did not invest in the early round for of the company and I’d say we wish we had, but given our circumstance had nothing to do with the company. It just had to do with the uncertainty around our current market at the time. We did not invest. So we kept in touch with them, and then they had another round of fundraising this year. And so we elected to participate in that. So that’s how that evolved. As far as the EV space, we’ve been looking at that. We’ve been talking to our utility customers for the last two years, we’ve gone to our utility contacts and our industrial customers and said, listen, we’ve been in a supplier of years for 40 years. We want to be suppliers of years for the next 40, how can we do things not related to your coal purchases? How can we do things to help you, meet your objectives and help us find opportunities to grow? And out of those conversations came the recognition that these utilities were going to have to support the automakers and sell electricity through these charging stations. So they raised that question to us being in Tulsa, Oklahoma. We were familiar with Francis; I’ve known several of the management members for Francis. I’ve known their parents. So, I’ve known the families for a long time. So, when we decided that this was something we wanted to do, and we heard that they were interested in raising some capital we reached out and had a meeting. And so we spent probably I don’t know, last four months.
Brian Cantrell: Four, five months.
Joe Craft: Four or five months. In detail, understanding of where they are? Where they’re going? What their line? What their thoughts are? And how we could work together? And so that’s how that developed and we’re very excited about that. Yes, these are good people. They’re driven. They’re capable. And they’ve got foot holes in the Midwest. We think we can help them with our relationships further east. And we’re real excited about that opportunity.
Marco Rodriguez: Got it. Very helpful. And last question for me on Matrix, in your prepared remarks, you sort of discussed trying to sort of pivot or expand the technological competencies of that group and to kind of branch out into different areas. I was wondering if you can kind of confirm the ability for you to do something like that. Does that mean you’re going to need to add heads or people that have those particular capabilities? And if so, can you maybe talk a little bit about the availability or how difficult or not difficult it might be to attract those people?
Joe Craft: We’ve already added the leadership in those areas. So, we’ve got strong leadership for hardware, for software, for analytics, and for the AI space. We’ve been studying it quite a while. But like the OmniPro once we’ve proven that out and had success in selling that product. So then we sit down and determine, okay, what do we need to do to scale that? So, do we want to grow five times, 10 times? And we set our aspirational goals. Then we come back and say, okay, how do we – how do we have to staff that to achieve those goals and objectives? And then we have to get a little bit more realistic as to what is available, and how we can recruit the type of talent to achieve those goals. So, we’re out there. We’re recruiting, manpower’s tough, but we’re finding that there are people that like to live in the communities where we’re operating, and they like being involved in building businesses and they’re entrepreneurial. And it’s – we’re trying to build networks through colleges, through high schools, even trying to explain the opportunity to young people that are stem related, stem educated students and people that have been out for school for the last 10 years or so as to the opportunity we present. So it’s a challenge, but my guys, tell me that, that the goals that we’re putting in place and the plans that we’re putting in place are achievable, and they feel like that they will be successful in recruiting the folks that are needed to grow those businesses.
Marco Rodriguez: Understood. Thank you guys for your time. I really appreciated.
Brian Cantrell: Thanks Marco.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. I will announce turn the call over to Brian Cantrell for closing remarks.
Brian Cantrell: Thank you, Alex. We appreciate everyone’s time this morning, as well as your continued support and interest on Alliance. Our next call to discuss ARLP’s second quarter 2022 financial and operating results is currently expected to occur on early August, and we hope you’ll join us again at that time. This concludes our call for today. Thanks to everyone for your participation and continued support of ARLP.
Operator: This concludes today’s conference. And you may disconnect your lines at this time. Thank you for your participation. And have a wonderful day.